Operator: Good day, and thank you for standing by. Welcome to the International Money Express Inc. First Quarter 2024 Earnings Conference Call.  [Operator's Instructions] Please be advised that today's conference call is being recorded. I would now like to hand the call over to your speaker today, Alex Sadowski, Investor Relations Coordinator. Please go ahead. 
Alex Sadowski: Good morning, and welcome to the Intermex First Quarter 2024 Earnings Call. I would like to remind everyone that today's call includes forward-looking statements, including our 2024 guidance, and actual results may differ materially from expectations, for additional information on International Money Express, which we refer to as Intermex or the company, please see our SEC filings, including the risk factors described therein. All forward-looking statements on this call are based on assumptions and beliefs as of today. You should not rely on our forward-looking statements as predictions of future events. Please refer to Slide 2 of our presentation for a description of certain forward-looking statements. The company undertakes no obligation to update such information, except as required by applicable law.   On this conference call, we will discuss certain non-GAAP financial measures. Information required by Regulation G under the Securities and Exchange Act for such non-GAAP financial measures is included in the presentation slide. our earnings press release and our annual report on Form 10-K and quarterly reports on Form 10-Q, including a reconciliation of certain non-GAAP financial measures to the appropriate GAAP measures. These can be obtained in the Investors section of our website at intermexonline.com. Presenting on today's call is our Chairman, Chief Executive Officer and President, Bob Lisy and Chief Financial Officer, Andras Bende, as well as other members of the senior leadership team. Let me now turn the call over to Bob. 
Robert Lisy: Good morning, shareholders, analysts, partners and media representatives. Thank you for joining us today. It's our pleasure to report that International Money Express has not only delivered a strong start to 2024, but has also achieved record-breaking performance. The company's revenue of $150.4 million and adjusted EBITDA of $25.4 million, our first order milestones. EPS have surged to new first quarter records of $0.35 and $0.43, respectively, surpassing market expectations and demonstrating our exceptional operational efficiency. Despite slower-than-expected market growth, particularly in Mexico, we have definitely navigated some top line headwinds to deliver exceptional results and double-digit earnings growth. We delivered results within all guidance ranges and exceeded expectations on multiple metrics, demonstrating our exceptional market command, strategic agility and unwavering commitment to financial discipline. This quarter, we have continued to set records across various metrics, including revenue highs in 10 countries, which showcases the effectiveness of our global strategies and the strength of our market presence. The integration of the national business has been a standout success with a 4x increase in EBITDA, which speaks volumes about the strategic parts of that acquisition.   We completed 2023 having generated $62 million in free cash, the highest annual amount ever for us, primarily driven by our retail operations where significant growth opportunities remain. This success has further underscored the payback received from leveraging the cash and investing in our digital technologies, highlighting our efficient financial management and strategic initiatives. Our digital channels cornerstone of our growth strategy have reached all-time high user engagement and profitability levels. This success reflects our disciplined approach to growth, focused on sustainable profitability through strategic and mindful investments in our technology and marketing efforts. We continue to expand and strengthen our digital offering through our strategic partnerships, particularly within our wires as a Service platform. The successful rollout of new partnerships this quarter has not only enhanced our capabilities, but also set the stage for sustained future growth. The versioning European market remains a key focus for expansion where we anticipate our advanced digital solutions will be especially effective in driving growth of our business.   International Money Express is a fintech company at the forefront of the omnichannel remittance model, which defines our approach to offering versatile financial services. This model is anchored by our highly profitable retail network, the backbone of our operations. and a rapidly expanding digital sector poised for substantial growth. Our omnichannel strategy ensures seamless integration of traditional retail transactions with cutting-edge digital solutions, providing comprehensive coverage across various customer touch points. At the core of our identity is our surgical approach to growth in everything we do. At retail, we focus on specific agents and geographies to maximize profitability. This strategic targeting allows Intermex to navigate markets more efficiently and profitably while delivering exceptional growth. Our ability to price services efficiently down to the ZIP code level showcases our sophisticated operational capabilities, enabling us to tailor our offering precisely to market demands. Our retail operations are noted for their cost efficiency and effectiveness, allowing us to strategically nurture our digital ventures. This balance helps avoid unnecessary expenditures safeguarding the company capital by fostering substantial business growth.   As the gold standard and quality service, we leverage cutting-edge proprietary technology to deliver exceptional value-added services. These services enhance our relationship with a highly productive network for retail agents, usually locally owned businesses, providing them with tools and solutions typically beyond their reach. This distinctive operational infrastructure sets us apart in the marketplace makes our business model difficult for competitors to replicate. By blending the strengths of both traditional retail and digital technologies, Intermex uniquely captures diverse market opportunities driving our future growth. This strategic equilibrium not only expands our service capabilities but also solidifies our position as a leader in the financial technology landscape. The first quarter of 2024 has been transformative for MSI, underscored by significant strategic breakthroughs and substantial operational advancements. Our current entry into the European market is anchored at the retail level, layering the groundwork for what we expect will be a significant expansion. While our advanced digital platform have yet to be deployed in this market, they represent a key opportunity for future revenue growth and are poised to transform financial services we provide as we expand our digital reach.   Our enhanced partnership with Visa is set to expand our digital footprint and enrich our digital services offering, aligned with our goals for extensive market penetration and superior customer service. This expansion into at least a dozen new markets signifies a major stride in our commitment to broadening our reach and enhancing our technological capabilities. Domestically, the recent expansion of our outside sales force by 11 new positions demonstrates our commitment to strategic growth and enhancement of our market presence. These roles while still in the early stages of impact. symbolize our fulfillment of the promise made to our stakeholders, setting the stage for substantial future contributions as the team members ramp up, the full operational capacity of the upside inside sales team, which now represents a tripling of our overall inside sales force is revitalizing our sales approach. This significant expansion is a strategic enhancement of our capabilities, poised to elevate customer service levels and transaction volume as their integration experience progress. As we move into the second quarter, we do so with a reorganized sales team, led by new and upgraded management.   This expansion is further bolstered by the launch of our new bill payment services equipping us with additional tools to enhance our market engagement and service delivery. While our growth does not solely depend on market conditions, any renewed vibrancy and remittance market will further amplify the impact of our enhanced sales force, boosting our future growth prospects. This quarter, we faced a series of economic and market-specific challenges, particularly in Mexico, where market growth did not meet our expectations of 3.5%. Despite these headwinds, our strategic preparation and adaptive business model enabled us to not just cope but to excel achieving robust earnings results across the board. Our success demonstrates our deep understanding of market dynamics and our ability to swiftly adjust our strategies to maintain momentum and deliver profitability. We have managed to achieve our key financial targets through diligent management and proactive approach to market fluctuations. I'll now hand it over to our CFO, Andras Bende, who will delve into the details of our financial performance and the significant strides we have made this quarter. 
Andras Bende: Thanks, Bob. In this first quarter of 2024, Intermex has not only continued its trajectory of robust financial performance but has also set several new records, which underscores the strength and resilience of our diversified business model. Our first quarter revenue reached $150.4 million, a 3.5% increase year-over-year despite softer-than-anticipated market growth in Mexico. The customer base on the Internet platform continued to expand, up 3% to 4.2 million customers, showcasing our strong brand loyalty and the successful enhancement of our customer engagement strategies. Our digital channels have seen exceptional growth and enhanced profitability with revenue up by almost 60% compared to the same period last year. This strong trend reflects our focused efforts on expanding our digital footprint and enhancing user engagement through innovative offerings. Our measured approach to digital underscored by a thoughtful investment is allowing us to really monetize the successful adoption of our services. Adjusted EBITDA reached a first quarter record of $25.4 million, representing a 5.5% increase, while the EBITDA margin improved to 16.9%, up 30 basis points from 1Q last year.   Also worth mentioning, we achieved this improvement in EBITDA margin despite the consolidation of the eye transfer business, an inherently lower margin business, which is not consolidated until the second quarter of 2023. These figures illustrate not only our profitability but also our ability to optimize and scale our operations efficiently. Net income and adjusted net income both achieved new first quarter records, reflecting our disciplined financial management and strategic planning. Our growth in earnings per share is particularly noteworthy with diluted EPS up 12.9% to $0.35 per share and adjusted debuted EPS also increasing by 13.2% to $0.43 per share. Our tax rate remained stable at 28.3%, close to where we were 1 year ago and a bit better than the fourth quarter. Our earnings performance highlights our commitment to delivering shareholder value and the nimble nature of the Internet business model, allowing us to quickly lean into efficiency in the face of market softness. On the operational front, interest expense rose to $2.7 million. This is driven by a higher rate environment, but also higher usage of our revolving credit facility during the weekends. Versus 1 year ago, we have deployed a lot of cash that would have otherwise set idle during the week towards stock buybacks, investment in technology, M&A, mainly the closure of the i Transfer acquisition and investment in our new headquarters facility.   Depreciation rose by 26.7% due to our new headquarters and ongoing investments in our technology infrastructure, while amortization expenses saw a decrease of 12%, down to $1 million for the quarter. As it pertains to cash, our business model remains highly efficient and continues to generate a lot of cash. When you look at our free cash generated measure for 1Q, remember, this is our internal measure that attempts to exclude balance sheet cyclicality. It's a little unusual in 1Q. The lower number is mostly driven by the investments in the headquarters building, along with the priming of several technology investments. Excluding those items, our free cash generated metric continues to grow. As per usage of free cash, our commitment to returning value to shareholders as evidenced by a record buyback of shares totaling over 949,000 shares for the quarter. As our financial results indicate, the quarter saw significant efforts in cost management, particularly in terms of SG&A expenses, where we've implemented strategic measures to protect earnings and margins. This drive for efficiency is what we're good at and core the MX DNA. As part of our strategic plan to further optimize the Lonato business, in the second quarter, we launched a strategic restructuring initiative aimed at maximizing the efficiency of our offshore support entities.   We'll complete the project by the end of 2024 and expect to generate over $2 million recurring annualized savings. With this program, we anticipate a roughly $2.4 million restructuring charge in the second quarter. This move underscores our continued commitment to operational excellence in every area of the company. As we continue our journey in 2024, our financial strategy remains focused on leveraging our strong cash generation to invest in growth initiatives while maintaining rigorous cost control and financial discipline. Our balanced approach ensures that we remain well positioned to meet our financial goals and continue delivering exceptional value to our shareholders. Looking ahead, the outlook for our company is promising. Our ongoing investments in technology and strategic market expansion are laying a strong foundation for our long-term success. We're eager to enhance our service offerings, expand into new markets and deliver exceptional value to our customers and shareholders. Additionally, we have realized and expect to continue to realize synergies through our recent acquisitions, particularly with Leeson as we streamlined their operations and ramp up their sales. Aside from the cost impact of the approximately $2.4 million restructuring charge on GAAP EPS, the rest of our full year guidance will remain unchanged.   We are optimistic about our ability to deliver earnings within the ranges we guided to, though we recognize revenue maybe towards the low end of our guide should a soft market in Mexico persist. So for the full year 2024, we anticipate revenue of $681 million to $701.8 million. Fully diluted GAAP EPS of $1.77 to $1.92, adjusted EBITDA of $124 million to $127.7 million and adjusted diluted EPS of $2.13 to $2.31. And for the second quarter, we anticipate revenue of $171.5 million to $176.8 million. Fully diluted GAAP EPS of $0.41 to $0.45 per share; adjusted EBITDA of $31.7 million to $32.7 million and adjusted diluted EPS of $0.54 to $0.58 per share. 
Robert Lisy: In conclusion, the first quarter of 2024 has been an extraordinarily successful for International Money Express. We have exceeded many of our strategic and financial goals, setting a solid foundation for continued success and growth. We appreciate your steadfast support and trust in our strategic vision. We look forward to sharing our continued progress and achievements. We are now ready to take your questions and provide further insights into our performance, strategic initiatives and optimistic outlook for the future. We welcome your inquiries and are eager to discuss our future plans and projections. 
Operator: [Operator's Instructions] Our first question will be coming from Gas Gala of Manas Crespi, Hart & Company. 
Gas Gala: Can we talk about that the growth assumption for the year in Mexico? And maybe what you're seeing from maybe strengthening USD versus the Mexican peso. And also just general touch on what you're seeing for your remitter customers in terms of their health in terms of jobs, wages, all that. 
Robert Lisy: There's been a reasonable amount of volatility in the Mexico growth numbers. So we try to look at the trend line. The most recent month, the numbers had dipped overall marketplace to negative numbers to a minus 3 that those most recent month as final as March. So the previous month before that was a positive 3%. I don't think there was a 6% swing in 1 month. Sometimes that's just the way the months kind of fall and how the Mexico banking system reports them. But we do expect, I think, the market to get a little bit better as the year goes on, but we can't -- we're not really have that in our projections. As we talked about, if the market rallies and comes back a little stronger then the things that we're doing related to our increased investment in sales, particularly at retail right now where we still believe there's a lot of life and also what we're doing with the partnerships related to digital, we think that the numbers will be stronger if the Mexico market comes back. It's difficult to know because there's a lot of really complicated factors.   A lot of it has to do with today, we believe the strength in the peso, as you noted, Hard to figure out or the weakness in the dollar, whichever way you want to look at it, hard to really get a sense about how long that will go forward. What I can tell you is I think it's a highly resilient set of workers and that are resource will because they're here to work, they're here to send money back home, their whole purpose for being here is that. And so even when we had COVID back in 2020, we found a movement from workers even if they were in the service industry to move to industries that we're still able to work, whether we're carwashes or whatever, we didn't see really a huge downturn in the overall market that was sustained even in the period. So I don't think that there's jeopardy in terms of related to the viability of the core careers for our customers. The most area that is probably the most economically, I think, influenced would be housing starts with effects on segment of our workers, but we're very heavily into the agricultural component, particularly in certain areas in the West and even in the Midwest.   And those areas are going to be stable, that there's nothing changes relative to our agriculture related to the economy. Service industry housing starts get affected there a little bit. But I think we don't think there's huge instability related to a decline in the number of customers. Our customer base is still growing. We just think that Mexico, for one, has been on such a trade in terms of growth for so long, such a really great track of growth that's inevitable to have a little bit of plateauing or even a slowing, but we don't expect it to last a long time, but we don't have any resurgence in our plan for the second half of the year. 
Gas Gala: Great. I appreciate that color. And pivoting a little bit, can we talk about performance of your agent vintages? Maybe talk about those that are still ramping in terms of that wires per month per agent versus those already at scale? And just a clarification, how are we doing versus that top 5 countries market share that you used to share? I'm not sure I saw it in the slides. 
Robert Lisy: For us today, the top 5 market share has been affected by a number of factors. One, the acquisition of Le National, where in certain countries, it's been really impactful and other ones not as much. Additionally, we believe that we would -- and it's hard to tell because you can't separate out digital and retail. We would believe that based on the numbers we see, we're beating the market and gaining share at both of those, but are waiting is such that we're not as -- we don't have the same weighting as the market related to digital, which is the faster-growing component and versus how we are heavily weighted in retail. And as we continue to grow our digital, which is growing much faster than our retail, our weighting will continue to shift and that the market share numbers will fall with that. So we don't believe today that is indicative of how we're doing because of the acquisition, because of the sort of shift related to retail and digital. And so we really didn't think those were helpful in an indication of how we're doing versus the market at this time. 
Gas Gala: Got you. And on the performance of agent vintages, if you don't mind, some color there, like the ones that are still ramping up in terms of wires per month. 
Robert Lisy: You mean there's always -- typically, I can tell you that typically and today as well that you always have a segment our business is comprised of 3 components. They're same-store sales. There's the churn. Those are agents that have been with us the previous year that are no longer there, and there's new store sales. And they each contribute to the overall sales number. Today, our agents continue to perform well in terms of the new agents. They perform better than they have in the past at an average per agent. There still remains a huge opportunity, and that's why we've been ramping up our sales efforts to put up more new agents. The opportunity for us isn't that the new agents that we have typically are up, and we would consider a successful age in over 150, 200 wires per month depending on the gross margin, they could be much more successful at a lower number. But those are achieving that on the average within 2 or 3 months. What we need to do is that's why we're adding 11 people out in the sales force is to be able to put more resources in areas like Texas, California, which we've been building for a long time, but they're going to have greater opportunities to put more people out in what we would call underserved or opportunity ZIP codes.  We may be in those ZIP codes, we may be delivering wires today, but it might be a ZIP code of 40,000 for warrants in the West, where we have a few thousand wires where the opportunities to pick up another 10,000 wires. And so we need to put up more retailers, quality retailers in those locations. And so that's really the focus of really expanding out with 11 more sales reps doing some other things that will -- as we invested into a greater effort in our our inside sales team that can take some of the weight out of the outside team, so the outside team can focus more greatly on adding new locations. So the opportunity there is still great. They're performing well. We haven't shared specifics about what shares those are of the business, but it's critical to have same-store producing new store and then obviously minimize the churn. And those are all aspects that continue to be proportionately healthy for the business. We just need to put up more new retailers in places that remain opportunities for us, which are primarily the Western states, which I know it's a sort of a broken record, if you've been following us, but it will be a broken record for another 5 or 7 years because before we get fully ramped up there, that's how long it will take unless we put another 50 people out in the street, which might be a sharp impact to our bottom line quickly. This will be a ramp that will take a while because we need thousands of more retailers in the western states relative to population. 
Operator: And our next question will be coming from Alex Markgraff of KBCM. 
Alexander Markgraff: Actually, 2 questions. First, on Slide 13, just looking at this gross profit per transaction and digital. Just curious if you could sort of expand when we look at the Intermex bar, what has sort of allowed for that expansion there? 
Andras Bende: Expansion of what Revenue per margin -- gross margin. Yes, we estimate a little bit of expansion because we have other initiatives for cost reduction lineup. However, as we keep growing and we hopefully start making more investments in marketing, we might see some change in the long run. But in the short term, yes, we expect some expansion too. 
Robert Lisy: Yes. Let me add to that. I think what we've found out is that some of the competitors and the leaders in the digital marketplace after entry-level transactions have some really pretty rich margins, which we've been able to be competitive and still get a better margin than where we got. We've also been able to increase those gross margins relative to how we've been able to lower some of our costs that go into the cost side of the gross margin. So part of that is pricing. Part of that's been able to reduce Marcelo was speaking and Chris Hunt, who really are focused on our digital side. Some of the costs that go in before you see that gross margin number. So we think that -- now we're in a great place because the unit economics work so well, and they're so strong. We have the ability to look at this and be a little bit more nimble and maybe at times for growth reasons, take a little bit lower of a margin to kind of tweak that to sort of the price, quantity continuum or interaction, right?   But the first thing we needed to do is to be able to take that and make that unit economics really work. Back in the old days, which is a few years ago for us 2, 3 years ago, the unit economics, not only did you have the challenge related to digital, which was the customer acquisition cost, you also have the unit economics challenge. So now we've erased that. The quality of the technology is now, we feel holds up with anyone. At the same time, we got unit economics that make a lot of sense and is really profitable that we can tweak one way or the other -- now we're just now with our last piece is to wrestle a little more with the customer acquisition cost that can help us drive more people to the site will enjoy a quality app at the same time where we make a good unit economics per wire, if that's helpful. 
Alexander Markgraff: Yes, that's great, Bob. And then just a quick follow-up on the Felix Pago partnership. Just sort of if you would speak to the rationale there, maybe if there's any sort of indication of how the economics look of that type of transaction. I don't know if there's any sort of commercial agreement details that you're willing or able to share. But just any sort of extra color around that would be helpful. 
Robert Lisy: The rational is to expand our wares a service solutions without the cost and the challenge to acquire new consumers. So we can leverage our platform, we can leverage our license. We can leverage our expertise. But Pelepas is the one who is really making the large investments to acquire consumers. It is a great combination of our strength versus the innovation, which doesn't block us to have similar solution in the future. However, in the short term, we can increase the bottom line significantly by offering -- leveraging a platform that is already existing. 
Christopher Hunt: One of the things I would add is pursuant to our omnichannel strategy, one of the things that's unique about Philippe was obviously the interface being in what's up primarily. And that's a channel that a lot of our Latin consumers like to use and are very comfortable with. So it also gives us expansion into meeting our consumer needs where they would like to send wires as well. So strategically, overall, also plays into the omnichannel strategy. 
Operator: Our next question will be coming from Mike Grondahl of Northland Securities. 
Mike Grondahl: A couple of questions. First off, just on the recent expansion in the outside sales force and inside sales force. How is that going kind of compared to internal plan, productivity and growth that you're getting from that new investment. 
Marcelo Theodoro: These things do take some time to ramp up, and let me start with the inside sales first. So we did with the inside sales, we had a team that was typically around 13 people that were supporting our outside sales efforts, primarily almost exclusively with same store locations. So they were calling the same-store guys and making sure that everything was going smoothly as we compete against our competitors, particularly over the weekends related to if we needed to make an adjustment in pricing or whatever it might be to drive as many incremental wires in our same store as possible. What we decided is we could triple our reach with a very small investment because the cost of the offshore team in Guatemala. And by the way, many of them are just as bilingual as people we have here in Miami, we were able to invest and add 24 people that tripled the reach. So now we're able to talk to more agents were able to on a Friday afternoon, look at in real time, where we're struggling, if we are or where the opportunities are related to what countries, what geographies and direct our team of people, which is now close to 40 people to where we're going to make calls and where we're going to go after those wires.   So that's working really great. There's a time period that needs to kind of ramp up, and we're still in a ramp-up period. We only made the decision to invest late last year. We only had the team really fully ramped up in terms of personnel in sort of in the right spots early in 2024. So we're early on in the program, but we're really pleased with the activity. And how on a Friday, the same rumor sitting in becomes a real sort of war room, if you will, where we're able to look at where the opportunities are and direct those efforts with resources that most of our competitors don't marshal or don't choose to marshal. Now on the outside piece, we're also looking at in a creative way putting people in the right markets. We've divided territories relative to opportunities. We're putting more people out in certain markets where we have, like, for instance, in Chicago, in Illinois, we've only had in the past 2 sales reps. We know that the number of retailers we need relative to foreign bonds, -- that's a metric that we use the KPI, foreign bonds per retailer, wires per foreign bond that there are huge opportunities.   So we're putting down a roving person in Chicago that would do nothing more than at agent retailers. We're doing that in other areas of the country. That's very early on. Some of those positions, as a matter of fact, many of those positions are still in the process of being filled, and we're going to feel that impact as the year goes on. But we feel really good about all of it. I think we've recalibrated our sales effort. We've taken it and gone back to what I think has been a unique and proven success with Intermex that no one's ever grown the Latin American business as quickly or as well as we had, and we're back to the days of the very much the Intermex way that was something that took us from a small regional player to being a leader in the market, and I expect those results to be usually impactful as we move into the second half of the year. 
Mike Grondahl: And then earlier in the year, you said that your '24 guidance assumed like 3.5% industry growth U.S. to Mexico, is that 3.5% still kind of embedded in the 2024 guidance? 
Andras Bende: I would say for now, it's still close to that. We bumped it down a little bit. Fortunately, from an earnings perspective, you've done a great job on costs, so we're able to make up a lot to get through to EBITDA and EPS. But I'd say it's near what we had communicated before. We do have coming up in the second half of the year, we do have some softness that we think we're going to be able to get some uplift in terms of grow-over that was more execution related that we think we've remedied. So we think we've still got a good shot to deliver. 
Mike Grondahl: Got it. And then, Andras, did you break out with the acquisition of Lonationale and eye transfers, I don't know, the last 4, 5 quarters, we've gotten a core or an organic growth number in addition to the revenue growth number you guys reported at 3.5%. Do you have the organic number? 
Andras Bende: Yes. I think since we've had them in the portfolio long enough, we're moving away from the breakout of those separate units. 
Mike Grondahl: Okay. And then maybe lastly, guys, any comments on April and how that month went. 
Robert Lisy: I think the most we could really say because we -- it's obviously not fine for us. But for ourselves, we saw more -- a little bit of a resurgence related to our growth numbers, which we expect because, as I said, we've kind of gone back to fundamentals in a way that we haven't for years, and we're seeing a turn of the tide. It's way too early to declare victory or even to declare that we're absolutely solidly have everything in line for the resurgence because I think it will take some time. But the numbers are encouraging from a transactional year-over-year perspective more than they've been, particularly if we weigh into the fact that February market was a plus 3%, March was a minus 3%. If that trend is continuing into February, we departed from the market significantly in a positive way as we move into April. So we're very encouraged, but more to come and more for us to watch that.   I just also want to be clear that we've never been a company and Andras has laid this out clearly as well that's been exclusively dependent upon what's happening in the market. And I know that the numbers that you see today reflect a lot of what's going in the market, and we're not immune to that is no one is. But this company was built in 2009 through 2013 or '14 when the market didn't grow at all. And we still believe that the way we apply our business at retail with the new adjustments in terms of people and back to the very unique and different way that we go about it, consumer acquisition through our retailers that we can grow much faster than the marketplace. And I think the early results in April are kind of indicative of that. But again, we need a little bit of a trend line here to see that for a few months before we declare that it's absolutely working, but we're very encouraged. 
Operator: And our next question will be coming from Rufus Hone of BMO. 
Rufus Hone: Just coming back to the detail you gave on Slide 13 on the gross profit per transaction in digital. Any way you could sort of frame what percentage of digital transactions are those Intermex branded? And what percentage are unbranded. Just trying to get a sense of the blended gross profit per digital transaction. 
Andras Bende: Intermex branded transactions pretty much 40% to 45% of the total. The other $55 million is a combination of different partners that we have. 
Robert Lisy: And by the way, when you say unbranded, I don't want to correct that, but I just want to make sure that we have all the data. They are co-branded. They require that. We still are co-branding with the partner on those. -- exclusively branded us is the 45%. 
Rufus Hone: And do you think you can keep driving that gross profit per transaction up over time? I guess what gives you confidence about that trajectory? 
Robert Lisy: I think that the key isn't really driving gross margin up. It's now leveraging what is a really strong gross margin to drive more wires. We want to make sure that we're reflective of the marketplace, which we believe the Latin America is more like an 80-20 today, meaning 80% of retail and 20% of digital, and we want to move that number there. Now we don't want to sacrifice or give back gross margin. But as I spoke earlier, the key to this was first is the stake out of place where gross margin was very healthy and then we can start to move from there and decide how we create programs, how we create repeat usage that leverages the high gross margin to drive even higher growth. So I think that will be the place you see us go. I don't think you'll see us try to get from a $5 margin to a $5.50 or a 5 quarter even it's more about trying to drive a much higher growth rate that will drive the business overall now that we're in a very healthy position with gross margin. 
Operator: And I'm showing no further questions at this time. I would now like to turn the call back to Bob for closing remarks. 
Robert Lisy: Thank you all for joining us. We look forward to talking to you soon, and have a great day. 
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.